Operator: Good morning, and welcome to Bowlero's Third Quarter 2024 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer-session. [Operator Instructions] Thank you. I would now like to turn the call over to Bobby Lavan, Bowlero's Chief Financial Officer. Please go ahead.
Bobby Lavan: Good morning to everyone on the call. This is Bobby Lavan, Bowlero's Chief Financial Officer. Welcome to our conference call to discuss Bowlero's third quarter 2024 earnings. This morning we issued a press release announcing our financial results for the period ended March 31, 2024. A copy of the press release is available in the Investor Relations section of our website. Joining me on the call today are Thomas Shannon, our Founder, Chairman and Chief Executive; and Lev Ekster, our President. I'd like to remind you that during today's conference call we may make certain forward-looking statements about the company's performance. Such forward-looking statements are not guarantees of future performance, and therefore, one should not place undue reliance on them. Forward-looking statements are also subject to inherent risks and uncertainties that could cause actual results to differ materially from those expressed. For additional information concerning factors that could cause actual results to differ from those discussed in our forward-looking statements, you should refer to the cautionary statements contained in our press release as well as the risk factors contained in the company's filings with the Securities and Exchange Commission. Bowlero Corporation undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances that occur after today's call. Also during today's call, the company may discuss certain non-GAAP financial measures as defined by SEC Regulation G. The GAAP financial measures most directly comparable to each non-GAAP financial measure discussed in the reconciliation of the differences between each non-GAAP financial measure and a comparable GAAP financial measure can be found on the company's website. I'll now turn the call over to Tom.
Thomas Shannon: Good morning. Thank you for joining us today. I am Thomas Shannon, Founder, Chairman and CEO of Bowlero Corporation. Bowlero had a solid third quarter with total revenue growth of 8.8%. January was a challenging month because of blizzards and flooding across the country. Following this weather-impacted result, our same-store comp was positive in both February and March, and our total growth was double digits. This follows the company's second quarter in which we produced same-store sales growth of 0.2% and total company growth of 13.4%. Our results in the second and third quarters are better than most or all of our competitors in the location-based entertainment space. When we acquired Lucky Strike, we were impressed by how much food and beverage they sold to each customer. We have taken some of the learnings from Lucky Strike and begun to implement that into our F&B business. We are revamping our menus, increasing food and beverage training, and improving our hiring processes to make a strong organic impact on our business. Our new premium menu, which launched in recently opened Lucky Strike Miami, includes salads, gluten-free options, bao buns, honey chicken sandwiches, and more variations of our excellent pizza. Additionally, we continue to instil a selling culture that began last summer with the implementation of the bowling special. I'm excited about the opportunities in front of us as we train and incentivize our employees to sell more. The quarter was marked by substantial investments in traffic-driving initiatives. These initiatives, though with some added cost, have proven their worth as evidenced by our industry-leading same-store comp growth. Lev Ekster will discuss these initiatives in a few minutes. Our best-in-class events platform continues to outperform. Event revenue increased 27% year-over-year in the third quarter and leagues were up 9% year-over-year as we expanded social league opportunities combined with growing brand recognition from our PBA ownership. We continue to deploy capital in acquisitions and new builds. We opened Lucky Strike Miami in the third quarter with results moving higher weekly and above our expectations. We have four new builds coming online in the next nine months with two openings in Denver this summer, one opening in Beverly Hills in early fall, and another opening in Orange County, California in the late fall, and we are actively engaged on a pipeline of approximately a dozen more new build locations following these. Last week, we acquired Raging Waves, the largest water park in Illinois, and a transaction that came with approximately 53.5 acres of land. With this acquisition, we acquired a superb, very profitable property and partnered with a strong operator in the regional waterpark space at an attractive valuation. We think there is a significant upside in this property. I'm also happy to provide a positive update on the status of the EEOC matter. On April 12 of this year, the EEOC issued closure notices for the approximately 73 individual age discrimination charges that have been filed, in most cases, many years ago. The notices communicate that the EEOC has dismissed the charges and will not bring suit against the company in the individual cases. Additionally, on this most recent Friday, May 3, the EEOC issued an additional closure notice for the pattern and practice directed investigation. In that notice, the EEOC wrote, "The commission has determined that it will not bring a civil action against Bowlero under the Age Discrimination Employment Act." And also on Friday, we received a positive court ruling in Richmond, Virginia that the case CNBC had breathlessly reported related to a former employee's attempt to countersue Bowlero had been denied. Over 8.5 years, the company has vigorously denied and contested the false allegations made against it and is pleased to see that the EEOC has closed its files. We are disappointed that media outlets, mainly CNBC, have told only one side of the story, no matter how preposterous, acting as a shill for attempts to damage our reputation and leverage an unwarranted settlement. We are pleased to report these very positive developments on behalf of our shareholders. Let me hand it over to Lev Ekster to talk about our internal initiatives and then Bobby will review the financial details.
Lev Ekster: Thanks, Tom. As I discussed last quarter, there is material white space to provide the consumer a better experience and increase wallet share in our locations. This quarter, we saw the benefit in traffic coming from two internal initiatives. First, with amusements, we have improved guest satisfaction through increased gameplay. We have seen benefits to traffic as exhibited in our February, March, and April comparatives. This should help continue to drive traffic in the slower months. Second, we have invested materially in our PBA programming. Since the start of the year, 18.5 million viewers have watched the PBA on Fox, FS1 or FS2, which is 16% more than at the same point last year. The increase is even higher among younger viewers with the male 18 to 34 demo reach up 22% year-over-year. Viewers are watching more PBA than ever before as average minutes viewed per viewer have steadily increased each year, and so far in 2024, that is already 15% higher than it was in 2019, the first year the PBA aired on Fox Sports. We have more stops than televised shows, which means more awareness and ultimately supports the value proposition of the PBA to Bowlero and the industry overall. Lastly, as Tom mentioned, we are leaning heavily into increasing food and beverage sales. This has become my primary focus. New menus and updated pricing roll out over the next few months. Additionally, in-kitchen training and the continued development of the sales culture will lead to improved F&B uptake, benefiting from the foot traffic generated by initiatives like our new Summer Season Pass. And then, leading into the critical holiday period, we will continue to optimize our offerings to improve customer satisfaction, traffic and increase spend as we look to be the out-of-home entertainment destination of choice. That is how we will continue to outperform our peers. Now, let me turn it over to Bobby.
Bobby Lavan: Thanks, Lev. In the third quarter of 2024, we generated total revenue ex-service fee of $336.4 million and adjusted EBITDA of $122.8 million compared to the last year of $309.1 million and adjusted EBITDA of $127.6 million. As a reminder, service fee revenue is a pass through, a non-contributor earnings, and is being phased out. Our total growth was positive 8.8% and same-store comp was negative 2.1%. January was the full contributor to the negative comp for the quarter. Adjusted EBITDA was $122.8 million compared to $127.6 million in the prior year. While worse than we expected, we're excited about the top-line contribution and customer satisfaction from two meaningful traffic driving initiatives. Amusement's comp gross profit year-over-year in the quarter was minus $5 million as we invested in better experiences for the consumer. As Lev discussed, the PBA has seen significant growth this year as we increased stocks and TV coverage throughout the quarter. This swung PBA to a $2 million loss in the quarter. This will continue into 4Q '24 as we ramp up incremental sponsorship on the better results. We continue to invest in our people, with our same-store comp payroll up $4 million year-over-year, which is better than last quarter at $6 million. Our cost structure, primarily employee payroll, normalizes after double-digit bump to payroll in March 2023. Corporate expenses are down while we continue to invest in our event sales team. Non-comp centers contribute $11 million of EBITDA on approximately $35 million of revenue. Lucky Strikes outperformed our expectations with the $6 million contribution to EBITDA in the quarter compared to $5 million in the previous year. The first four weeks of April 2024 have been strong, but due to the investments we made in the third quarter, we're taking our full year guidance to the low end of the range previously disclosed. This still implies double-digit revenue growth for the year and significant revenue and EBITDA growth in the fourth quarter. Please note that in the quarter, we closed one center, which was reflected in the end center count of 352. In the quarter, we spent $13 million on growth CapEx, $9 million on new builds, and $7 million on maintenance. We spent $12 million on acquisitions. We also updated our capital guidance for the year. We are increasing our M&A spend to $220 million from $190 million. We are lowering conversions from $80 million to $70 million as we focus on internal organic opportunity to drive returns. New builds will be higher as we continue to ramp up well, adjusting new builds CapEx this year to $45 million from $40 million. We plan to continue to balance investing in our growth and rewarding our shareholders. Our liquidity at the end of the quarter was $437 million, with nothing drawn on a revolver, and $212 million of cash. Net debt was $943 million and the bank credit facility net leverage ratio was 2.4 times. Thank you for your time, and we look forward to taking your questions. Operator?
Operator: Thank you. We will now begin our question-and-answer session. [Operator Instructions] Your first question comes from the line of Steven Wieczynski from Stifel. Please go ahead.
Steven Wieczynski: Yeah. Hey, guys. Good morning. So, I want to start with going back to the third quarter, and I guess if we go back and think about when you guided, I think it was early February, you pretty much had an idea what the weather headwinds were going to be. So, I guess, what we're trying to figure out is what kind of then drove the underperformance relative to the third quarter guidance. Was it really just driven by some of the investments that you guys talked about in your prepared remarks in terms of trying to drive more foot traffic? I'm just trying to tie the guidance to versus where the quarter came in. Thanks.
Bobby Lavan: Yeah, it was entirely cost, Steve. So, we're pretty aware of where our revenue is kind of going, but at the time of the February report, we weren't completely clear of both payroll costs and sort of the cost from investing in amusements and PBA. If you go back to January, is our highest profit quarter -- or month. And so, when that month just has a massive drawdown, it creates a little bit of uncertainty on the cost. We've gotten a handle of that in February, March, and so if it were just for February, March, we would have handily beat our numbers. But it's a myth and we're moving forward.
Steven Wieczynski: Sure. Okay. And then second question is, we've gotten a lot of questions this morning about the acquisition outside of the bowling space. And I guess, first, can you help us think about what you paid for that acquisition and then maybe what that waterpark is doing in EBITDA? And then kind of the second part of that question is, one of the questions we've gotten is why go outside the bowling, let's call it, arena, and look at other entertainment options, given in your presentation, you guys still believe there's a huge opportunity in terms of driving your bowling store count?
Thomas Shannon: Hey, this is Tom Shannon. Good morning. Yeah, there's still a remaining market for bowling, that's quite large, but bowling in the U.S. is only a $4 billion TAM. And when you look at location-based entertainment, it's more like $100 billion TAM. So, we were presented an opportunity to buy a really beautiful asset, very well maintained, well located 53 acres, right, sort of on the edge of the western suburbs of Chicago, and to partner with a really good operator with decades of experience running these at an attractive valuation, and we thought it was a great foray into looking at this sort of asset that goes beyond bowling but shares many of the fundamental similarities with bowling. Very low variable cost. We understand, I think, the consumer in this segment very well. And I'll say this, about a year ago, or maybe nine months ago, we purchased an asset called Mavrix and Octane in Scottsdale, Arizona, and half of that business was a indoor go-kart track. And there was a lot of negative sentiment about buying the go-kart track, and had we sort of lost faith in the bowling business. And we're about seven months into that acquisition, on the run rate it's on, it's going to do $8 million of EBITDA against a purchase price of $33.5 million, and really no subsequent investment after that. So, there are a lot of really, really good businesses in location-based entertainment that share fundamental similarities with bowling, but aren't bowling. And we're availing ourselves of that, rather not get into what we paid for it, but on a multiple basis, commensurate with what we paid for the majority of our bowling acquisitions over the last couple of years.
Steven Wieczynski: Okay. Great. Thanks for the color, Tom. Appreciate it.
Thomas Shannon: Sure thing.
Operator: The next question comes from the line of Matthew Boss from JPMorgan. Please go ahead.
Matthew Boss: Great. Thanks. So, Tom, could you elaborate on trends that you've seen with walk-in retail traffic as the third quarter progressed? Maybe what exactly have you seen from same-center comps in April? And how best to think about expectations for comps in the fourth quarter?
Thomas Shannon: So, Matt, the problem with our business in terms of making predictions is it's a very short cycle, right? So, we were positive in December, we fully anticipated a positive January. And we were surprised by the weather, unfortunately, but we were -- we had a positive comp in February, we had a positive comp in March. And in the period that just ended yesterday, in fact, our preliminary numbers are that on a same-store basis, we're up over 6%. And on a total company basis, revenue is up 20%. So, on a same-store basis, we're up four out of the last five periods. I think we would have been up in January except for the weather. But regardless, the trend is very positive. It's a tough environment. We see that the consumer is spending, but the consumer is being more discerning. The good news is that I think we're winning the market share battle. You can't be up 6% when everyone else is down, in some cases, meaningfully down, and not be picking up market share. So, I think the company is executing extremely well. We were cycling a lot of legacy costs. As you recall, around March of last year, we gave sizable increases in compensation to all of our managers in the field, between 12% and 17.5% increases, and we're just cycling that now. So, you had a combination of two factors over the last year. We were comping against very, very, very high post-COVID same-store comps year-over-year, up double digits, up wildly. So, we're comping against that. And at the same time, we instituted a massive wage increase to create more stability and tenure among our managers, which has been successful in achieving its goal. So, you had the combination a year ago of a very tough comp on the revenue side, and we created a very tough comp on the cost side. Those trends have now reversed themselves. We now have relatively easy same-store sales comps, and we've cycled that enormous wage increase that we put through. And that's why -- partially why on a comp basis, in February, we're up 6%, which is, I mean, it's orders of magnitude versus what everyone else is doing. I take no joy in saying that, other than to illustrate the point that it's a very tough environment for everyone in this space. And 6% is a massive outperform. It didn't happen by accident, though. It's happened by a very, very focused effort by Bobby and Lev to drive traffic in a variety of ways; optimizing our online booking process, streamlining that, driving more traffic to the website economically, we've driven down our customer acquisition cost by half on a year-over-year basis. And now we have the summer pass, which is our season pass for the summer, where you can come in and bowl. There are various packages, but the standard packages, you get two games every day for one low cost upfront, akin to what the ski areas do for their winter season passes. And the pass doesn't become eligible for use until around Memorial Day. Through yesterday, we'd already sold $1.5 million against our goal in the $10 million to $15 million range. You may recall that last year we eliminated that. So, again, this summer, we have a lot of tailwinds. We're doing all the right things. We are driving traffic, and we're coming up against a relatively easy comp. Four out of five of the last periods, positive same-store sales on a consolidated basis, we're seeing the impact of the Lucky Strike acquisition, a handful of other individual center acquisitions, and also, year-to-date, we've opened three new builds in San Jose, Moorpark, California and in Miami. And they're all outperforming. So, from where I sit, the news is very, very good.
Matthew Boss: Yeah, Tom, that's encouraging, particularly the 6% comp in April. I guess, what's your confidence in sustaining positive low- to mid-singles from here? And historically, how has bowling held up in more recessionary backdrops? And then, Bobby, I just had one for you. If you could just help walk through the drivers in the fourth quarter of the EBITDA margin expansion, just relative to the third quarter contraction, I think that would be really helpful.
Thomas Shannon: Like I said, Matt, it's really hard for us to make predictions, because it's such a short cycle business. From where we are now, I would expect that the trend that we have of low to middle single digit same-store sales comps will sustain itself through the rest of the year. I mean, we're seeing strength really in all parts of the business. For example, in the April period that just ended yesterday, the same-store event comp was up over 15%. I expect when all those numbers are fully baked, it'll end up being up more like 16% or 17%. The league business is performing extremely well. We're doing well in the retail walk-in business. We have a lot of initiatives to drive organic food and beverage sales in center, which is something we've always underperformed on, but we're no longer going to accept that as the status quo. And that's a comprehensive redo from training to menus to presentation and center and all that. So, all the things that we can control, I think are driving this result. Now, if you have some exogenous shock to the economy or other things that we can't predict, again, all of this goes out the window. But based on where we are now and based on the trend, I feel very confident that low- to mid-single digit same-store sales comp is readily achievable through the end of the calendar year.
Bobby Lavan: Matt, so if you go to just the EBITDA expansion you would expect, or EBITDA margin and EBITDA dollars expansion we expect in the fourth quarter, it really comes down to, we need to have a few points of positive comp, yet EBITDA up. But the second that you're above a 2% comp, the dollars flow through at anywhere between 75% and 90%. In this circumstance, we've taken costs out over the past year. There are some legacy costs. We've been very clear about this litigation we've had going on for the past year, and all those are going away. So, we feel very strong going into the fourth quarter. We sort of have lapped a year of frothiness plus wage increases. We can see those real-time and those are flat now, but the end of the day and we are taking costs out of our sort of centers as well as you've seen the cost coming out of corporate.
Matthew Boss: It's great color. Best of luck.
Operator: The next question comes from the line of Jason Tilchen from Canaccord Genuity. Please go ahead.
Jason Tilchen: Yeah. Thanks for taking the question. Good morning. I'm just curious on the events business, revenue remained really strong, up about 30% year-over-year for the second consecutive quarter. I was wondering if you could call out anything in terms of the mix between corporate, non-corporate, anything to comment on there would be really helpful.
Thomas Shannon: Yeah. We've seen a pickup in corporates, birthday parties and online. So, really the mix has been strong across the board as we continue to upgrade systems, processes, and we've simplified pricing on our events platform. So, we've talked about pretty openly about having a pricing consultant in here. We used to have sort of 12,000 different SKUs and 100 different open bar packages. We simplified that significantly. And the team also continues to just punch above its weight.
Jason Tilchen: Great. That's helpful. And just to follow-up, you mentioned the pricing consultant. I think you talked about that sort of contract running up soon, and you just recently instituted some other price changes sort of across the board. I was curious what the customer response was to those over the past few months, and sort of any update on where any remaining pricing changes that we would expect throughout the balance of this year?
Thomas Shannon: Yeah. We took shoe pricing down at the beginning of April, which we feel like shoe is one of these things that the customer feels is overpriced. We've seen only positive reaction to it based on our traffic data. I mean, I just look at some of the centers we took shoes down the most, they were up the most last week. We will take pricing up on food in the coming months as we roll out the new menu, and we're excited about both the pricing and the uptake there.
Jason Tilchen: Great. Thank you very much.
Operator: The next question comes from the line of Jeremy Hamblin from Craig-Hallum Capital Group. Please go ahead.
Jeremy Hamblin: Thanks. I wanted to just come back to cost for a second here and just understand a little bit about the seasonality that we should expect here in the fourth quarter. So, as you noted, Q3, typically your strongest quarter in terms of revenue, also your highest in terms of embedded cost to operate. I imagine you get a downtick in terms of that cost to operate in Q4, but also wanted to understand in terms of some of the investments that you noted in PBA. How should we be thinking about that here as we look forward to Q4? Presumably may be some sequential declines in SG&A spend, and then also in terms of the cost to operate in Q4?
Bobby Lavan: So, you'll continue to see SG&A spend coming down. So, that has been the tip of the spear for us on how to manage inflationary dynamics. From a payroll perspective, payroll in the comp centers in 3Q '24 was $68 million. That comes down by about 15% sequentially into the fourth quarter. And that's just a seasonality dynamic. We are looking at other opportunities there. From a center fixed cost perspective, that holds, because while some of the seasonal -- winter seasonal issues go down, the summer utilities go up. So, really the cost flex is going to be on center payroll and any sort of cost reductions we do. And that's how you should think about sort of the system is that SG&A sequentially down, corporate sequentially down, and payroll meaningfully steps down. And that's why in a world where we have a good mid-single digit comp, there's just a lot of operating leverage going into the fourth quarter.
Jeremy Hamblin: Great. Helpful color. And then just as a follow-up, with the nice update here on EEOC, is there any -- do you have kind of a specific call out in terms of whether or not that's had additional costs from a litigation or legal perspective, that -- with that kind of in the rearview mirror on an annualized basis, what you think the benefit might be to the company?
Bobby Lavan: Yeah. I would say there's been a few million dollars that flows through the income statement, but more importantly, it's been a distraction. And so, we're happy to focus 100% now on our business and get this behind us.
Jeremy Hamblin: Great. Last one for me. In terms of your repurchase plan, I believe that you guys still have over $180 million remaining on that. You removed the expiration date. In prior quarters, with the stock below $11, you've been pretty aggressive on buying back. The stock, of course, has generally been above that level in recent months. But wanted to get a sense if that still kind of a range where you guys see tremendous value? And how -- when your window opens up on potentially doing something there?
Bobby Lavan: Yeah. We look at our performance and we evaluate where we want to buy a stock, we would aggressively buy our stock here.
Jeremy Hamblin: And in terms of the window of when it reopens?
Bobby Lavan: We don't comment on those kinds of mechanics.
Jeremy Hamblin: Got it. Thanks for the updates [and color] (ph). Best wishes.
Operator: The next question comes from the line of Ian Zaffino from Oppenheimer. Please go ahead.
Ian Zaffino: Hi. Great. Thank you very much. Wanted to ask you a couple of questions here. First one would be, Bobby, I think you mentioned that Internet, which I guess is pre-bookings I believe, were very strong. So, how does that kind of foot with how walk-in retail moves? Why would one be strong and then the other one kind of lagging somewhat? And then also, I know you restored a lot of these mid-week promotions. Have you seen the benefit of those? Are they kind of baked in, or have the consumer been responding the way you expected? Thanks.
Bobby Lavan: Yeah. So, I mean, mid-week promotions coming back are great because we have an easy comp from June to October, right? On top of -- Tom talked about Summer Season Pass, where we're expecting -- we had nothing last year, and we expect to kind of double from where we were two years ago. We're really focused on traffic. Traffic doesn't have to be just be walk-in retail. Events are up. Online is up 100%. So, ultimately, events and online are going to cannibalize just the walk-in retail traffic generally, because there's just going to be some people who want to book ahead. But that's a better experience for the customer and ultimately allows us to upsell them. So, it's a better transaction, it's higher ARPU, and ultimately it allows us to plan better and staff better. And what we're really excited about that dynamic as well is that if we have a center that's full this weekend, Times Square is full this weekend, we don't need to spend online marketing dollars driving traffic there. But if we have a center that we know might be -- have lower utilization in the summer, we can go spend -- shift the marketing dollars from high-cost [indiscernible] like New York to lower cost, and drive traffic into those centers. So, ultimately, the thing that if you take a step back, for years, our business was a pricing game. Now, it's a traffic game. And ultimately, if we can get traffic into the centers, the incremental leverage on that is dramatic.
Ian Zaffino: Okay. And then, can you just maybe help us understand how the comps progressed throughout the quarter? I know you had a tough January, but when you say tough, was that sort of down mid-teens? Because if you kind of do the math or make some assumptions, that's what it seems like. And then, you kind of were doing low singles in February and March. Is that kind of directionally right? And if that's the case, I guess, you saw an acceleration of just 6% in April? I'm just trying to get a sense of the cadence of the business by month? Thanks.
Bobby Lavan: Yeah. The first three weeks of January were worse than minus 10%. We ended January minus 7%. February was plus 1%, and March was plus 3%, and April, as Tom said, was plus 6%.
Ian Zaffino: Okay. Perfect. Thank you very much.
Operator: The next question comes from the line of Eric Handler from Roth MKM. Please go ahead.
Eric Handler: Yes. Good morning. Thank you very much. Wondered if you could talk a little bit about all the various initiatives that are working in amusements to drive that business?
Lev Ekster: Hey. Good morning. Lev Ekster here. So, when I started with the amusements department, we didn't have very many company-owned arcades. Today, we have over 330 centers with company-owned arcades. And we consider ourselves to be a real player in the amusement space. But I don't think the consumer has caught up fast enough considering us for that business. And so, all of these initiatives were to expose our amusements business to more consumers and to drive repeat visits as a result. So, offering them more gameplay for a similar amount of cost to them, better prizes and redemption, winning more, and overall, just a better guest experience. Because, as Tom -- as Bobby mentioned, we're in the trafficking. We want to provide as good of an experience as possible to drive those repeat visits, because at the same time, we're getting better and really focused on increasing our F&B attachment when they come back, right? So, amusements has become a major pull for us for traffic. And to do so, we wanted to offer a better experience. But also put a bigger spotlight on our amusements business. So, we've even recently been engaged with arcade influencers, visiting our centers, sharing content. We never had that level of focus on marketing our amusements business like we have today. Getting back to our redemption prizes. We want our guests to feel like they got a great value for their spend. So, we're bringing in products that are market specific with fanatics, right? We want it to be a better experience. And that's a 360-degree view. More gameplay, better game selection, better prizes, more value. And as a result, repeat visits, and a better sentiment towards our amusements business and our locations as a whole.
Eric Handler: So, as a follow-up then, I'm assuming the more time -- well, the more people spend on amusements, the more time they're spending in your centers, which I imagine then has a trickledown effect on food and beverage. Can you talk about, like, what happens, like, if a person spends one incremental hour in your center, maybe what that translates to an incremental spending or margin?
Lev Ekster: It's a good question. I would say the average dwell time in our centers right now is about 105, 110 minutes. We have seen that creeping up. It's still early days. But really, if somebody were to order another cocktail, I mean, that's $10, $12 increase with very little cost. And you multiply that by 40 million people, I mean, the numbers get meaningful very quick. And so, we are just very focused on traffic into the summer. Because from our perspective, we crush it in December. January, we got whipped around on the weather. We did fairly well in February, March. But we have this fixed cost structure, we have this payroll structure. And so ultimately, if we can add 50 million or 100 million of revenue in the summer, that's a meaningful change to our business. And if we give people a better experience, particularly with the season pass, then they're going to come back in November and December. So, the flywheel of getting people into the centers, giving them a premium experience, letting them engage with the new menu, the new arcade dynamic, really improves customer satisfaction. And we've seen our NPS go up. Our NPS is up. It has gone from 62 to 65 in the past six months, which is meaningful for us. And ultimately, we think customers are choosing us, and that's really exhibiting the fact that our comp in April is strong and that's where we want to be.
Eric Handler: Great. And just if I could, one quick follow-up. In terms of the new menu, how many centers have the new menu? How many center -- how long before it rolls out everywhere?
Lev Ekster: Yeah. So, just to share a little bit more about how we're viewing our food and beverage attachment and the focus there. So, as Tom mentioned, it's a really big focus and we've kind of underperformed there historically. So, TTM, if our centers are averaging $0.65 in food and beverage spend to every retail bowling dollar, I've seen firsthand being here in Miami, at our new location, Lucky Strike Miami, that number is closer to $2.25. So, we can really see what's possible with this level of focus on food and beverage sales. But that's a comprehensive effort, right? So, as Tom mentioned, new menus, new menu items, new pricing, even the presentation of the menu going from multiple sheets to a trifold, or in Miami's case, on our luxury menu, a book. New hiring standards to get chefs and kitchen managers into our locations, where we're assessing them now on a skills-based approach versus doing Zoom interviews. We're getting them into our kitchens to see how they perform. And we're filtering a lot better. More training on the soft skills of selling food and beverages. We're taking a look at our windows for food sales, right? We've had like this food truck design where we're reevaluating it. We're re-evaluating the bar displays to be more impactful and bigger focal points for our consumers. So, it's like a comprehensive approach on food and beverage sales on top of driving more traffic into our centers. And if we get that $0.65 closer to a $1, really, really meaningful stuff. We're going to be rolling out our traditional -- to your question, our traditional premium menus in late May into June, and then the luxury menu I mentioned at Miami, through the Lucky Strikes and the higher-end Bowleros, that'll be June into July. So, by the end of July, all of our centers will be on a new menu, new pricing. And we're also giving a real look to scaling our Cheeky Monkey concept. So that came with our acquisition of Lucky Strike Fenway. It was like an adjoining space, but really cool concept. We're revamping the brand identity right now in the menu there, but we've identified ten of our existing locations that have viable restaurant spaces already built in that are just looking for a great concept. And we think Cheeky Monkey is just that.
Eric Handler: Thanks.
Lev Ekster: You're welcome.
Operator: The next question comes from the line of Eric Wold from B. Riley Securities. Please go ahead.
Eric Wold: Thank you. Good morning. So, two questions for me. I guess one, just a quick follow-up on your earlier comments on the season -- on the Summer Season Pass. You mentioned you've done $1.5 million against your goal of $10 million to $15 million. How does that $1.5 million compare kind of from the start of selling to date to prior year that you sold the same or a similar offering? Running ahead of back then or kind of in line?
Lev Ekster: Yeah. So that's a really interesting question because it's not necessarily apples to apples. So, at its peak, the Season Pass sold about a little over $6 million. This year, with the launch of the Summer Season Pass -- so we rebranded it from Summer Games and we really improved the value proposition, the pricing model to the consumer. There used to be a Kid Pass and Adult Pass option. There's just one pass now, which is similar to our bowling pricing, right? There's no kids bowling, an adult bowling price. We have a Basic Pass and a Premium Pass now. The Premium Pass gets you a slight discount on food and beverage sales, gets you some arcade credits. So, it's a better experience. But through the first three weeks of selling this pass, where we've reached that $1.5 million in sales, that's pre-redemption. So, historically, when we sold the pass, those first three weeks, you were able to buy it and use it that visit and redeem it right away. Right now we're calling it a pre-sale and you can't redeem it until May 24. So, obviously, it's increasingly harder to sell it right now, right? Because you don't get the same instant gratification of using it at the time of purchase. So, the $1.5 million during this period, I think is really, really encouraging. And I think May 24th, when redemption opens up and you can purchase it and use it in that same visit, you're going to see it explode in sales.
Eric Wold: Got it. It's helpful. And then last question, kind of a higher-level question. I guess there's been a lot of focus on investments over the past year plus to drive traffic, including the current quarter or the last quarter, you talked about the investment in the PBA, amusements, obviously, you continue to focus on payroll. Did we get to a point where you feel you can take the foot off the gas of these investments and still be able to sustain any traffic gains? Or should we now think about maybe a longer-term need to spend at higher levels just to kind of get to that normal traffic and kind of expect maybe a longer-term lower margin as a result?
Bobby Lavan: Yeah. You're going to see the investments come down. I think we probably overshot a little bit this quarter. The new website turns on June 2, the PBA renewal resets next year, and amusements, we continue to tinker, but we're finding the right answer. But what I think you're going to see is a meaningful step-up over the next 12 to 18 months of revenue from these other ancillary lines, whether it's F&B, whether it's PBA, whether it's amusements. And so, you'll see a very strong comp in the near-term and then we'll get back to sort of a run rate mid-single digit comp. And those investments that are driving that big step up will normalize and come down, particularly website. I mean, websites, we were spending $200 per acquisition six, nine months ago. Now we're spending less -- significantly less than that. So you're just seeing things coming down. And really, I would call 3Q '24 as kind of the nadir of all that.
Eric Wold: That's very helpful. Thanks, Bobby.
Operator: The next question comes from the line of Daniel Moore from CJS Securities. Please go ahead.
Daniel Moore: Thank you. Appreciate it. A lot of the stuff, a lot of the questions have been covered, but just clarifying guidance. Near the low end of the range, I assume that means likely to come in a little above or a little below. Should we think of that as the new midpoint? I know it's semantics, but just trying to clarify.
Bobby Lavan: Yeah. It should come in at the low end of the range.
Daniel Moore: Okay.
Bobby Lavan: We're always going to have a little bit of a range, right, but we feel comfortable with where we're at.
Daniel Moore: Okay. And then just -- I think you talked about it and certainly Tom talked about it. But just how the Raging Waves acquisition came about? And then, given this is obviously [indiscernible] and the new opportunity in a much bigger [TAM] (ph) or to expand the TAM, is it plan to operate it for a season or two before maybe expanding in that new vertical and see how things go? Just wondering about the cadence of how you're thinking about that. Thank you, again.
Thomas Shannon: We have a partner who has a number of these assets and manages them, some of them for the owners, some of whom are very prominent, well-known businessmen. These guys are the best in the waterpark business, certainly on the regional level. So, if you think about the market, right, it's everything below Six Flags, Cedar Fair, and SeaWorld, and there are a lot of them out there. And some of them are quite large and have a very wide moat, because as you can imagine, it's very hard to build these assets now, costs are very high, zoning prohibitive, et cetera. So, these businesses we view as being very, very attractive businesses. This particular deal was brought to us by this company who would have financed it themselves and bought it themselves, but they found that the cap rates they were being offered in the sale leaseback market were higher than they wanted to pay. And so, we made a great deal for both sides where they run it with an incentive structure and we own it. I think that the EBITDA can double from where we purchased it in the next couple of years. The park is beautiful. The infrastructure is first class. It's well located. But there were a lot of things they weren't doing that are sort of fundamental basics in the waterpark and amusement park business. I'll give you one example. They didn't sell alcohol. So, it can be a 95-degree day, and the park is packed with 8,000 people, which is about its capacity, and you can't get a beer. So, simply adding that not only enhances the experience for the adults but gives you meaningful revenue and EBITDA upside. One of many examples. So, like the bowling business, largely mom-and-pop operated, older proprietors who are natural sellers at this point. And so, the deal was brought to us. We jumped on it. We've already effectuated a lot of changes. For example, applying for a liquor license months in advance of closing the transaction, which occurred one week ago today. That location will open around Memorial Day, and we'll have basically the entire season to evaluate how we like that business before any other potential transactions would come down the pike. So that's a very long-winded way of saying, yes, we're going to know exactly how this thing is performing and really know how well we like this business in very short order.
Daniel Moore: That is helpful. Thanks again.
Operator: The next question comes from the line of Randy Konik from Jefferies. Please go ahead.
Randy Konik: Hey. Thanks a lot. I guess first question. Bobby and Tom, how should we -- just back on the bowling side of things, how should we be thinking about over the next few years, the split between buy versus build on the bowling center side? Just give us your updated thoughts on how you're thinking about that part of the world?
Thomas Shannon: Well, the decision is in some ways made by the market. So, to the extent that you see more attractive deals on the buy side or the build side, you naturally allocate capital in those directions. There was a very long period of time where we didn't see a lot of really good new build opportunities, either the location wasn't good or the economics weren't attractive. And over the last two years, that has changed. And so, we opened three new builds this fiscal year. We have four under construction currently in Beverly Hills, two in Denver, and one in Orange County, California, and about a dozen behind that working their way through the pipeline. So, what we're seeing now is, on a relative basis, much more new build activity than acquisitions. That said, we'll acquire 21 or 22 existing bowling centers this fiscal year. So, it's not like there was a dearth of that activity, but you definitely -- we're definitely seeing higher quality, more attractive new build opportunities now than we've seen historically. The good news is, is that the average unit volume of those new builds is significantly higher than the average unit volume of the typical acquisition. I say the typical acquisition because this year we bought the Lucky Strike chain, which had much higher average unit volumes than the typical centers we've seen. And by the way, is on pace, I think, to dramatically outperform our expectations and the market's expectations. So, just to ballpark, through about six real months of our ownership, those assets are doing, ballpark, $12 million of EBITDA. And you can annualize that to a number that will be in excess of $20 million in the first year against a $90 million purchase price. I think you could naturally extrapolate that out to eventually get to $25 million or $30 million of EBITDA against the $90 million purchase price with all of the CapEx that we used to enhance those properties generated out of the cash flow from those properties. So, it was a really, really good acquisition year because the Lucky Strike assets are phenomenal, extremely well located in major markets. And then, we got the brand for free. We love the brand. We've tested it, we had Nielsen test it, and the unaided awareness was 50% higher than it was for Bowlero. That's why all the new centers we're building, we're building under the Lucky Strike brand. So, it was a really, really good year for acquisitions, in large part because of Lucky Strike. But the aggregate number in the low 20s is a pretty good number for us historically. But over the near-term, you're going to see a lot of the new development be new builds. But look, a year from now, we may find that there's a whole new crop of existing centers to buy. So, we're opportunistic. We deploy capital in the highest IRR opportunities first, and we're not -- we don't limit ourselves to, at this point, strictly bowling. That's why we were able to buy Mavrix and Octane in Scottsdale. That'll do on order of $8 million of EBITDA in its first year against a $33.5 million purchase price. There's a lot of really, really good stuff out there that I view as continuous to our business and very similar to our business in terms of how it operates and what the levers are. And they're all in our sweet spot.
Randy Konik: It's super helpful. And shows you obviously know how to buy and build. So, I guess my last question would be more for Bobby. Look, we had the quarter. It's printed. It's now behind us. I think it'll be very helpful to people listening to the call and trying to frame out more of a long-term focus here is, how do you think about kind of long-term EBITDA margins and where they should sit over the medium to long-term, and why they should be at those types of levels? That would be super helpful.
Bobby Lavan: Yeah. I think that based on what we've seen, particularly what we've engaged on over the past six months, we have a long runway of acquiring traffic very accretively, right? And so, ultimately, I think that we'll start shifting into the higher end of the 32% to 34% range on an EBITDA margin going into 2025. But over the long-term, we should hold those levels as we find the optimal sort of CAC to LTV transaction, or what really gets customers to keep coming and coming more. And so ultimately, we will continue to invest. I expect a material step-up in EBITDA over the next sort of 12 to 18 months, and then we'll grow from there as we continue to sort of invest, but invest where the EBITDA number is higher and the investments are lower as a percentage of EBITDA. This is a very sort of transitory time in that we had a bad quarter, but we had a bad quarter from an investment perspective, we had a bad quarter, and that January was just a massive, massive drawdown. If it wasn't for weather the first three weeks, this would be a very different conversation where we would have hit our numbers and continue to invest in the business. Now, we missed our numbers, but invested in the business. We're not going to just stop investing in the business just because of some weather impact. But ultimately, I think that the next few quarters, you're going to see significant operating leverage because we've invested in that traffic, and that traffic is coming in accretively.
Randy Konik: Super helpful. Thanks, guys.
Operator: The last question comes from the line of Michael Kupinski from Noble Capital Markets. Please go ahead.
Michael Kupinski: Thank you for taking my questions. Just a couple of follow-up. One, you make comments about the Lucky Strike brand. Is there a prospect for converting Bowlero locations into Lucky Strike?
Thomas Shannon: Oh, yeah. The plan is to convert nearly all or all of the Bowleros to Lucky Strike. We'll eventually consolidate down to two bowling brands; Lucky Strike, which will be the experiential, and AMF, which will be the traditionals.
Michael Kupinski: Got you. Thank you.
Thomas Shannon: Yeah. And we're building -- sorry, go ahead.
Michael Kupinski: I'm sorry. Go ahead.
Bobby Lavan: We're building an infrastructure for it. Right now, you'll start seeing sort of the more prominent Bowleros converting that sits in cities that have a lot of investment community, but we're starting slow, but we are rolling it out.
Michael Kupinski: Perfect. And just one additional question. If you can add a little bit of more color on Raging Waves? I know there's a lot for you to learn about waterparks, but do you think that there's a better return on waterparks than possibly opening new bowling centers? And then, can you add more color on the possible rollup opportunity in waterparks in general?
Thomas Shannon: Well, I'm not new to the waterpark space. I am as an owner, but I look to acquire a location in Florida that was very similar to the one that we acquired, similar dynamic, elderly seller had been around for a long time. And I wasn't able to buy that center because I didn't understand the concept of a sale leaseback, and I could never get to the seller's price. Our partner, the management partner on this asset, Raging Waves that we bought, was actually the guy who bought it. He had previously been the CEO of Six Flags, left Six Flags, and then started buying these regional assets. He took that location from $11 million in revenue to $25 million, and EBITDA exploded. So, unfortunately, I sat on the sidelines. I tried to buy that asset for 11 years and couldn't quite get there. And I got intellectually arbitrage because this other guy understood the sale leaseback market and I didn't. Well, now I understand the sale leaseback market. And so, if you think about what the potential is or the likely outcome of this asset, once we optimize EBITDA, it would be a perfect asset to flip to the sale leaseback market. And even at these current cap rates, which are not attractive, we would probably end up with proceeds in excess of the purchase price, and we'd still own on order of 50% of the cash flow. So, the return would be infinite. So, I think from a return profile, the returns of doing an acquisition like this are far better actually than doing a bowling alley new build. The other thing that's significant is it's more dollars. So, we're able to put more dollars to work with effectively the same effort. And I think that's important as we want to continue to scale. Doing individual bowling acquisitions at this point doesn't really move the needle. We have to do more and more of them to maintain the same percentage increase as the asset base grows in size. So, what are the advantages of doing these other things is you end up with assets that when optimized can be doing $12 million or $15 million of EBITDA versus $2 million or $3 million, or in some cases, $4 million. So, I think that's an important way of looking at the business. We are in no way abandoning or walking away from the bowling business. I want to make that perfectly clear. But we have the wherewithal from a management perspective and from a financial perspective of doing more than just bowling at this point. And there's a whole very interesting world where the mechanics of the business are very similar to those of the bowling business, where it's not a leap into the unknown, where we can avail ourselves of them on an opportunistic basis. And I think you're going to find that this is going to be -- at the low end, this would be a unlevered 20%-plus performer, and with leverage or a sale leaseback would be infinite return. So, like I've said earlier, these are all good opportunities. We pick and choose from the best and work our way down. But the water -- this waterpark investment is in no way a trade down from a return perspective versus buying or building bowling alleys. I want to make that perfectly clear.
Michael Kupinski: Perfect. Thank you for that color. That's all I have.
Thomas Shannon: Thank you. And by the way, I would encourage all of you to look online, look at Google, look at what this waterpark looks like, where it's located, et cetera. It's a first-class, incredibly well-maintained, and beautiful asset. This isn't just some regional collection of slides. This is themed at a very high level. And I think we were very, very fortunate to be able to get this asset. I'd encourage you to diligence it yourselves and see just what we bought here.
Operator: Ladies and gentlemen, as there are no further questions at this time, this concludes today's conference call. Thank you for your participation. You may now disconnect.